Michael O'Leary: Good morning, ladies and gentlemen. You're welcome to the Ryanair Q3 Results Presentation. I am Michael O'Leary, I am the Group CEO, and I'm joined this morning by Neil Sorahan, our Group CFO. You will see the strong Q3 numbers we published this morning on the ryanair.com website. We reported a Q3 net profit of €88 million, up from a Q3 loss in the prior year. We’ll take that as way and we’re going to roll through the slide presentation, which will move to now. So, as you can see Ryanair's remains Europe’s favorite airline group. We have the lowest cost, we have the lowest fares of any airline operating across Europe. We’re number one traffic, 154 million guests, up 8%, number one for coverage. Lower growth is driving slightly higher fares, both, this winter and we think that trend will continue into the summer of 2020. EU airline failures and the sales reorganizations are accelerating. We’ve seen that trend over the winter period. Ryanair's proud to be Europe’s greenest, cleanest airline, and we're about to invest upwards of €20 billion in the fleet of new Boeing aircraft which will significantly increase the amount of passengers we carry per flight by reducing fuel consumption. Ryanair is and remains the lowest cost operator in Europe and we will be the structural winner. This slide is familiar to everybody. It sets out our 82 bases, 241 airports, and I would draw your attention that in summer of 2020 we have new routes in Katowice in Poland, Zadar in Croatia, a new country in Armenia. And in total, we'll have opened a 111 new routes this summer. We continue and commit ourselves offering Europe’s lowest airfares, which is why other airlines, our competitors can't compete with Ryanair's prices, nor can they compete with our costs. Other airlines chains have lower costs on some RASM or CASM basis. It’s simply not true. If you look and compare us on a unit cost basis per passenger excluding fuel, we beat everybody. We’re significantly cheaper, for example, on easyJet, on airports and handling, about one third of their costs. And in aircraft ownership, we’re significantly cheaper than Wizz. In total, however, our unit costs ex fuel are more than 34% lower than our nearest competitor, which enables Ryanair to continue to grow, offering lower fares than any other airline and sustaining those low fares. Neil, the results?
Neil Sorahan: Yes. Q3 showed a strong performance. Guests were up 6% to 36 million customers. Revenue per passenger performed strong, a 13% improvement, thanks to strong close-in and bookings on Christmas and New Year, we saw a 9% increase in average fare. Our priority boarding and reserved seating continue to drive a strong performance in our ancillary revenues, which were up 21%. Unit costs, despite the fact that we haven’t had any MAXes in our fleet, were only 1% in the quarter. And as Mike already said, we recorded a profit of €88 million in the quarter, which compares with a loss of €66 million in the prior year. Interestingly, our earnings per share is tracking ahead of that, thanks to the buybacks that we’ve doing over the past year.
Michael O'Leary: Turning to current development. So, clearly, the MAX-200s are delayed. Boeing, themselves, are saying that the return of service -- they expect the grounded MAX to return to service in June. The certification of the MAX-200s is at least two months beyond that. So frankly, we're too busy in July and August. So, we’ve now reduced -- cut back our summer 2020 schedule, taking out the 10 MAX aircraft we had hoped to receive. And therefore, our growth next year will be slightly lower, but that should help the underlying airfare proposition this summer. Our cost leadership is being maintained. As Neil has said, despite the fact that we don't have 55 MAX aircraft in this winter season, we’re still seeing a tremendous unit cost discipline, up only 1%. We believe this slower capacity growth by Ryanair and our competitors and higher fuel will continue to drive consolidation. We've seen that this was with the failure of Thomas Cook among -- and Adria among others. There will be slightly higher loan losses due to the price war with Lufthansa subsidiaries in both the German and the Austrian market. We believe they are engaged in below cost selling, but we are the lowest cost operators. So, we’ll continue to meet and beat them on price. We're continuing to make significant environmental progress and we're pleased to announce today we've appointed our first Director of Sustainability who will be the focus of our delivery of these ambitious environmental targets. Of the 700 million share buyback, we have about €440 million now competed. There is about €260 million to go. We expect to run that program out slightly longer now, completed by about the end of July. And as you would have seen in early January, we raised our full year guidance from an old range of €800 million to €900 million. The new range is now a €950 million to €1.05billion. The MAX update. So, we have 210 aircraft on orders, they will be delayed now until the winter of 2020. And that means slower FY21 growth. We're reducing it from 162 million to probably about 156 million over the next 12 months. Most of that growth will be delivered by the additional A320s in Lauda. It has led regrettably to some base closures this winter because we've had the constrained capacity with fewer aircraft. So, we closed bases in [indiscernible] in the Canary Islands, Belfast, Hamburg, Las Palmas, Nuremberg, Stockholm Skavsta and Tenerife South. We've frozen our PDP payments to Boeing. We do want to restart those PDP payments, but only once we have certainty on our MAX delivery program. We continue to look through the current noise that and we believe this is a great aircraft. It does carry 4% more passengers per flight at 16% lower fuel consumption. Our senior pilots, our training pilots have been in the max simulators. They've been in the NG simulators, we recreate, and they're very confident this is a great aircraft, it handles brilliantly and that our customers are going to really like it when we start taking it on board. But, the results of this delayed delivery means we're now moving up our target of 200 million guests will be delayed from currently FY24, it will now be FY25 or FY26, depending on when we can take the deliveries of all 210 of these aircraft. Consolidations continue. In recent months we've seen the failure of Ernst Airlines in Italy, Adria in Slovenia, Thomas Cook [indiscernible] was the big failure last autumn. TAP is currently for sale, so is Croatia Air. Air Europa and Condor have been sold. Alitalia, Flybe and Tarom are now in receipt of state aid. And even in Vienna where Laudamotion is losing money, we've seen Eurowings significantly cut back their program. In fact, they're closing their Vienna base. Level has cut back its program and easyJet has failed to grow. The Lauda losses have increased marginally from €80 million to €90 million this winter. Average fare -- but it's entirely an average fare issues. Fares have been lower than expected and significantly lower than budgeted. That's because it's engaged in a price war with Lufthansa subsidiaries in both Germany and Austria who are engaged in below cost selling, and both Eurowings and Austrian airways are losing money themselves. This year, in Lauda, we carried about 6.5 million guests. We expect that to grow in the next 12 months to about 10 million guests. This summer, the fleet will rise from 23 to 36 aircraft with most of that growth taking place in Vienna, the base in Vienna. We’ll also open a fifth base in Zadar this summer. And as a result of those investments for the longer term, losses will grow from €80 million to about €90 million this year. The management team in Lauda are engaged in a line by line detailed cost review and are continuing to roll out cost reduction measures through this winter and we believe into next summer.  In terms of our environmental proposition, we are the first EU airline to publish our monthly CO2 emissions. We've now appointed Thomas Fowler as a Director of Sustainability. He will be charged with delivering the very ambitious targets that we've set out in our environmental statement. We are already one of the Europe’s greenest airlines. Passengers switching to Ryanair from high fare legacy European airlines can reduce their emissions by up to 50%. We're not content with that. We have a plan to cut our emission further by another 10% over the next decade, and much of that will be delivered by the Boeing MAX aircraft deliveries. We've committed ourselves to being plastic-free in five years’ time. We're ahead of target now; we're up to 60% plastic-free, both in head office and on board. We're raising the voluntary carbon offsets this summer. From April, it will rise from €1 to €2 per flight. It doesn't offset all of our carbon emissions, but it is an indication for those customers who want to offset or make contribution towards carbon offset in their flights, can do so. And critically, we're on the dawn of taking delivery of 210 new Boeing 737 aircraft, which will cut our fuel consumption while -- and cut our noise emissions while carrying 4% more passengers. Neil, do you want to take the guidance?
Neil Sorahan: I will, Michael. Thank you. So, as guided to the market on the 10th of January, we expect processing a new range of €0.95 billion or €1.05 billion. There are moving parts in there. We would see our guests traffic increase by 8% or 154 million. Revenue per passenger, thanks to the strong performance on ancillaries and slightly better than expected average fares, will be up approximately somewhere between 3% and 4%. Unit costs, ex-fuel will be up just 2%, and that’s with MAXes in the base this year. Our fuel bill at current spot prices will be somewhere in the region of about €440 million higher than last year. So, a good performance for the year. This of course, as is always the case is very much dependent on close-in bookings for the rest of the quarter in the absence of security events. Before anybody asks, we won't be giving any guidance this morning. We will give it on a full year in May.
Michael O'Leary: Okay. Now, we will open it for question and answers.
Q - Unidentified Analyst: Revenue per passenger was up 13% in Q3. Why?
Michael O'Leary: We had stronger close-in bookings over the Christmas and New Year holiday period at higher than expected airfares. Average fares in the third quarter were up 9%. That was supplemented by very-strong performance on ancillary revenues, which were up 21%, largely as a result of the success of our priority boarding and assigned seating services.
Unidentified Analyst: Will the ancillary performance continue in Q4?
Neil Sorahan: We expect to continue to perform well, but there won't be growing as fast as they were in prior quarter. We’ve now annualized the bag policy that we brought in November ‘18 that we annualized in November, but we will anticipate that we continue to grow ahead of traffic growth. We're working now hard on our Labs on the likes of personalization, increasing conversion and revenue.
Unidentified Analyst: How fares performed in Q4?
Michael O'Leary: Bookings at the moment are only about 1% ahead of where they were at the same day last year at moderately better than expected air fares. However, we would be caution last year's Q4 was particularly -- the comps were particularly soft. It was a particularly weak period. So, we would continue to be cautious. And we don't have any presence of Easter at the back end of March.
Unidentified Analyst: Is the yield improvement of Ryanair specific over an improving environment?
Neil Sorahan: It’s a combination of the two. Clearly the capacity coming out of the market has been helpful. We've seen a number of consolidations and failures. And of course, the MAX deliveries haven't made their way into Europe over the course of the last year into our feast. We've taken a number of steps ourselves to reduce on the performing bases and routes over the winter. And we're also seeing the benefit of the new 10 kg bag, product that checks 10 kg bag that we introduced last year in the scheduled revenue numbers.
Unidentified Analyst: Are there any new developments from Labs?
Michael O'Leary: The Labs successfully rolled out the new digital platform in November? We've seen that continue to deliver a superior conversion on some of the optional customer services like priority boarding and reserve seating. Labs are now focused on increasing personalization, particularly ancillary offers to guests. And car rental became our new car hire partner in late 2019. And we believed they will help to grow revenues strongly in the car sector or segment over the next three years.
Unidentified Analyst: How did the cost perform in Q3?
Neil Sorahan: Relatively well. We saw 1% increase in unit cost ex fuel, and the reasons for the increase are staff costs where we're -- pilot pay increases are continuing to annualize. We have also seen a slowdown in resignations and an increase in crewing ratios due to the non-delivery of the Max aircraft. The MAX is also having an adverse impact on our maintenance costs as we were flying over our aircraft for longer, we’re having to shift -- shop visit them more frequently. On the plus side, all the hard work that our ops and engineering team have done over the past years to improve on time performance, which is now running at over 90% excluding ATC. That's led to a great improvement in our AU261 compensation, and that's thankfully down to the new handling arrangements in Stansted, in Poland and in Spain.
Unidentified Analyst: Any update on your fuel hedging?
Michael O'Leary: Yes. As you know, we're 90% hedged in the current year to the end of March 2020 at about $71 per barrel. We took advantage of the recent dip in prices. So, we now can announce that we're 90% hedged for FY21 and a fraction over $60 per barrel.
Unidentified Analyst: Are you seeing any customer reaction for the environmental focus recently? 
Neil Sorahan: Yes. Flights are fully booked, 96% load factor is more about 1% better booked than we were at this time last year. I think, the big element of this is people realizing that they can half their CO2 emissions by switching from the legacy carriers to Ryanair. We have the lowest CO2 per passenger kilometer of any airline in Europe and indeed more of our customers, over 3% of them now are opting for the voluntary carbon offset, with a particularly high percentage share of our German customers doing so.
Unidentified Analyst: You've appointed a Director of Sustainability in December. What will he do how did it go?
Michael O'Leary: Yes. His primary task, immediate task is going to be improving fuel efficiency and to develop sustainable -- lead our project to develop sustainable aviation fuel supplies into the future. He's also charged on a monthly basis with reporting on our ambitious emissions green initiatives that we set out in our 2019 environmental policy document, which has the full support of the Board of Ryanair Holdings plc. 
Unidentified Analyst: Is there any update on the environmental side?
Neil Sorahan: Well, the French tax has already come in, in January. The German with APD, which is an 80% increase, comes in, in April of this year. I think, an opportunity is being missed here to reflect and reward high-performing airlines like ourselves with high load factors and young fleet, relatively low fuel burn and instead exempting -- connecting traffic for legacy carriers, which tends to burn more fuel. I think, a lot of people miss the fact that Ryanair customers are paying over 11% of their ticket price in aviation taxes already, which is about €630 million on an annualized basis. So, this is a big opportunity here, aviation accounts for 2% of CO2 in Europe, which compares to about 6% on shipping. But, there's a big opportunity here to encourage airlines like ourselves to invest in new technology, like the MAX, which has 16% lower fuel burn rather than exempting connecting traffic and effectively giving subsidies to legacy carriers. 
Unidentified Analyst: How are the equipment airlines developing?
Michael O'Leary: They're developing strongly. This summer, the summer 2020 for example, Lauda will grow to 36 aircraft in the fleet, it will open the new base in Zadar. Bose in Poland will grow its fleet to over 50 aircraft, 7 of which will be in the Polish charter market. The balance would be flying -- operating our subservices for Ryanair at most of our Central Eastern European bases. And Air Malta is growing strongly, it is taking over most of the Ryanair bases in Italy and Germany and France and will rise to a fleet of almost 100 aircraft by the summer of 2020.
Unidentified Analyst: Would you consider M&A?
Neil Sorahan: It wouldn’t be the first thing on our list. We plan to grow organically over the next few years with 210 aircrafts coming into fleet, and that's what we do well. That said, I think there will be opportunities where there’s competition overlap, as more airlines either go out of business or consolidate over the next number of months and years. We already have a process in Italy where Alitalia are up for sale, TAP in Portugal, and recently we’ve seen the like of Ernest Airlines airlines in Italy went of the business. So, there will be opportunities but we will primarily grow organically.
Unidentified Analyst: Michael [indiscernible] the other airline CEOs now in situ, what’s your day-to-day focus?
Michael O'Leary: Particularly my focus is in the four key areas. One, management development, getting the new airline management teams in place and working well; two, driving cost efficiencies and recharging of the group with delivering on cost cutting initiatives, the timing and delivery of the MAX aircrafts and the Boeing relationship recently back from Chicago where I met the new team in Boeing and forcing capital allocation going forward, where should the aircraft and the capital best be invested, who can deliver at the lowest cost list at most efficient prices.
Unidentified Analyst: Is there any update on MAX aircrafts?
Neil Sorahan: Well, it looks now as if it will be the middle of the year before the MAX returns to service, which for us sadly means we won’t see any MAX's fleet this summer. We're looking at least September or October before we take delivery of the aircraft, which means we’re looking at 2% increase in traffic this year, which should be delivered primarily from our Airbus fleet. 
Unidentified Analyst: Boeing have closed 737 MAX production line. Will this impact your long term growth?
Michael O'Leary: We can delay it. There are two issues here. Firstly, when will the -- we're now running 12 months behind the original delivery schedule. We have hoped to have 55 aircraft in the fleet in summer of 2020. We’ll have none. I think, what’s likely is that that will push out that delivery profile with Boeing by at least 12 months. So, we would hope to get 55 aircraft in for the summer of ‘21, schedule ‘22, ‘23 and ‘24. At best, that means we will have to have roll forward our plans to reach 200 million passengers per year which was probably going to be delayed at least 12 months, possibly 24. So, we’ll now move out to either FY25 or FY26.
Unidentified Analyst: You’ve closed on bases as you reduce [indiscernible] is there are room for more focus?
Neil Sorahan: It can never be rule out. 
Unidentified Analyst: How quickly can you take MAX deliveries when the aircraft is all ready? 
Michael O'Leary: We can take them reasonably quickly, because we’re one of the few areas that has its own Boeing MAX stimulators. But, the challenge for us we've never taken more than eight aircraft in a moment before. That’s really as many as aircraft is we were going to take. And so, I think, our camp will be taking 8 deliveries a month and no more than 50 aircraft in time for the next summer peak. So, I think it's reasonable. We're working on a plan now, 50 aircraft for summer ‘21, 50 for summer of ‘22 and thereafter.
Unidentified Analyst: How are talks with Boeing going?
Michael O'Leary: They are going well. As said, we’ve been to Chicago to meet the new management team. Our focus there is to get the Boeing MAX back into service as quickly as possible, hopefully by the end of June of this year; then to certify the MAX-200s, which are the stretched versions that we take delivery of. And we would hope to take the first deliveries of those in September, October of this year. That is more than sufficient time for us to take 50 aircraft for the summer 2021. We are having discussions then with Boeing both on the pricing of those aircraft and also on at Boeing reimbursing Ryanair, our costs and losses for these delayed deliveries. And those discussions continue. But, they can't really be finalized until we have a revised delivery schedule that's real and credible because the aircraft…
Unidentified Analyst: What is the impact of IFRS 16 lease accounting standard on your balance sheet in Q3?
Neil Sorahan: It was fairly modest for Ryanair, only 6% of our fleet is leased at this point in time. So, the impact at the end of the quarter was €230 charging million for net debt. But, our net debt having taken the impact of IFRS 16 and €330 million to share buybacks was just €700 million at the end of the quarter.
Unidentified Analyst: What is your CapEx guidance for FY20 and FY21?
Michael O'Leary: It's very difficult to be certain on the CapEx guidance at the moment until we have a certain-- some degree of some confident or certainty over the MAX delivery program. Clearly, we have postponed all PDP payments because of the delays. Clearly those PDP will restart once we have a schedule of deliveries, which we hope will start as early as September, October this year. And then, we'll update the market with -- at that point in time with a -- and up to date view or outlook on our capital -- for our CapEx the next number of years.
Neil Sorahan: Yes. I think that's fair and we're probably going to be -- key CapEx over the next 12 to 18 months. But, we would give you more color on that in May.
Unidentified Analyst: How's the buyback progressing?
Neil Sorahan : It's going well. We're at about €440 million in terms of buyback at this point in time. However, as we wait for firm delivery schedules on the MAX and as we start to focus on repaying of debt, particularly our first bonds in 2021, we think we'll slow down buyback program. So, this one will roll out to the end of July and then we'll start to focus on debt with an opportunity over the next 18 months to pay down about €1.3 billion of debt, which will strengthen up the balance sheet and take some of the more expensive interest off the P&L, about 2% interest rate. So, that again, would be positive for the numbers coming through.
Unidentified Analyst: Can you update on FY20 guidance?
Neil Sorahan: Yes. We guided on the 10th of January. So, we expect our profit after tax seeing the new range now €0.95 billion to €1.05 billion. Based on current trading, we're probably somewhere close to the middle of that range. Traffic will grow by about 8% and 154 million guests. Our fuel bill would be up about of €440 million on a full year basis. Unit costs, ex fuel will be up just 2%, despite the fact that we haven't taken delivery of any MAXes yet. And so, depending on where close-in bookings end up, we think revenue driven by the strong ancillaries will be up somewhere between plus 3% and plus 4% on a full year basis. And this as always has predicated on 1% of ancillary market.
Unidentified Analyst: Can you provide any guidance for FY21?
Michael O'Leary: No. It's far too early still to be looking guidance for FY21. We're still working on finalizing the budget. We hope to have that done maybe in the next month or two. But it's very -- I mean it very -- moveable feast based on the outcome of the MAX delivery discussions. I think we would hope to be in a position to update the market on the -- at the time of the full year results in May. But again, it could be heavily driven by the date and when we take delivery of the MAX aircraft and how many Max aircraft we can take over the next financial year to March 2021.
Unidentified Analyst: Michael, Neil, thank you. 
Michael O'Leary: Thank you.
Neil Sorahan: Welcome.